Operator: Ladies and gentlemen, we do appreciate your patience. And welcome to the MFA Financial, Inc. Fourth Quarter Earnings Conference call. At this time, all participants are in a listen-only mode. Later, we’ll conduct a question-and-answer session. Instructions will be given at that time. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to our host, Danielle Rosatelli. Please go ahead.
Danielle Rosatelli: Good morning. The information discussed on this conference call today may contain or refer to forward-looking statements regarding MFA Financial, Inc., which reflects management’s beliefs, expectations and assumptions as to MFA’s future performance and operation. When used statements that are not historical in nature including those containing words such as will, believe, expect, anticipate, estimate, should, could, would, or similar expressions are intended to identify forward-looking statements. All forward-looking statements speak only as of the date on which they are made. These types of statements are subject to various known and unknown risks, uncertainties, assumptions, and other factors including those described in MFA’s annual report on Form 10-K for the year ended December 31, 2014 and other reports that it may file from time to time with the Securities and Exchange Commission. These risks, uncertainties, and other factors could cause MFA’s actual results to differ materially from those projected, expressed, or implied in any forward-looking statements it makes. For additional information regarding MFA’s use of forward-looking statements, please see the relevant disclosure in the press release announcing MFA’s fourth quarter 2015 financial results. Thank you for your time. I would now like to turn this call over to Bill Gorin, MFA’s Chief Executive Officer.
William Gorin: Thank you, Danielle. I’d like to welcome everyone to MFA’s fourth quarter 2015 financial results webcast. With me today are Craig Knutson, MFA’s President and Chief Operating Office; Gudmundur Kristjansson, Senior Vice President; Bryan Wulfsohn, Senior Vice President; Steve Yarad, CFO; and Terry Meyers, Senior Vice President, Director of Tax; and other members of senior management are also present. In 2015, we continue to execute our strategy for expanding investments within our residential mortgage asset investment universe. As opportunities in the residential mortgage asset sector are identified, MFA has a focused and the requisite capability to analyze the investments and to be a significant investor. Turning to Page 3, despite the low interest rate environment, we continue to identify and acquire attractive credit sensitive residential mortgage assets, such as credit sensitive loans and three-year set-up RPL/NPL securities. In the fourth quarter of 2015, we generated net income of $69.7 million or $0.19 per common share. The dividend was again $0.20 per share. And book value per common share at December 31 was $7.47. Turning to Page 4, MFA began operations nearly 18 years ago, and has generated strong long-term returns to investors through volatile markets and through various interest rate and credit cycles. Since 2000, we’ve generated annualized shareholder return of approximately 14%. And over the last 10 years have generated annualized shareholder returns of 13.5%. Turning to Page 5, we had laid out MFA’s strategy for 2016. First, we continue to focus on high value-added credit sensitive residential mortgage assets. The credit assets we’ve acquired continue to perform well. Credit assets we’ve acquired also tend to have less interest rate sensitivity. Second, our strategy does require staying power, and the ability to invest in and hold long-term stressed less liquid assets. We have permanent equity capital. Our debt-to-equity ratio of 3.4 times is low enough to accommodate potential changes in marks. This is why historically, we’ve been able to invest significant amount at advantageous prices while other investors were facing capital outflows. Our significant market cap is relevant to investors and counterparties and potential mortgage industry partners. Let me add that being right size is a two way street, and we will refrain from raising equity base during the last cycle of industry equity growth, as we wanted our existing shareholders to capture the benefits of our investment strategies. As a reminder, and I’m sure you now, we currently advise in compensation is not tied to size. Turning to Page 6, in the fourth quarter we continue to identify and acquire credit sensitive residential mortgage assets. We increased our holdings of credit sensitive residential whole loans to $895 million and our holdings of three-year step-up RPL/NPL securities to $2.6 billion. In the fourth quarter, we did not acquire any Agency MBS or Legacy Non-Agency MBS. Turning to Page 7, as you can see, MFA’s yields and spreads remain attractive despite the interest rate environment. Turning to Page 8, we present yields and spreads for our more significant holdings. Given the leverage we’re utilizing or may utilize in the future, each of these asset types are generating attractive returns to MFA shareholders. Turning to Page 9, Terry Meyers, our Director of Tax, will present Slide 9, which is update on items that will be impacting taxable income.
Terence Meyers: Thank you, Bill. As can be seen from the slide, the company’s undistributed taxable income as of December 31, 2015 was approximately $0.02 per share. As we look forward to 2016, certain events during the first-half of the year are expected to significantly impact our taxable income, but will not impact our GAAP income. These items include the recognition of taxable income from the qualified liquidation of one of our REMIC securitizations. And from the company’s receipt of certain amounts it expects in connection with the countrywide settlement. We estimate that the REMIC liquidation will generate taxable income of approximately $0.19 per share. And that the countrywide settlement will generate taxable income of approximately $0.05 per share. I will now turn the discussion over to, Gudmundur.
Gudmundur Kristjansson: Thanks, Terry. We’re going to move to Slide 10. On Slide 10, we are going to look at the interest rate sensitivity of MFA’s assets and liabilities. MFA’s asset durations were approximately unchanged in the fourth quarter at 141 basis points, despite interest rate rising by about 35 basis points across the curve in the fourth quarter. This was primarily caused by a continued growth in our holdings, our credit sensitive loans, and RPL and NPL securities, both of which exhibit limited interest rate sensitivity. While our more interest rate sensitivity Agency MBS and Legacy Non-Agency MBS continued to run off. A notional amount of our swap hedges remains unchanged at approximately $3 billion at the end of the fourth quarter, but the hedge duration declined about 30 basis points to minus 3.4 at the end of the quarter, as our swap hedges shortened naturally over time. In aggregate, MFA’s interest rate sensitivity remained very low in the quarter, and net duration was almost unchanged at 59 basis points at quarter end. With that, I will turn the call over to, Craig.
Craig Knutson: Thank you, Gudmundur. On Page 11, as I am sure everyone knows by now, the FHFA adopted a final rule last month, that excludes captive insurance companies as eligible Federal Home Loan Bank members. Thus, the Federal Home Loan Bank membership of our captive insurer will terminate in the year. We had $1.5 billion of advances, all using Agency MBS collateral at year-end 2015 and as of the final rule adoption, because the term of our advances is longer than one year, we will have no roll-over issues with our advances. But all of these advances must be repaid by February 19, 2017. We have already reduced these advances from $1.5 billion to $1.2 billion. And please keep in mind with our Agency MBS pay downs running at approximately $75 million per month we expect about $900 million in pay-downs over the next year. So while we are disappointed in losing the Federal Home Loan Bank of Des Moines as a lending counterparty and a partner in housing finance, this development has really very little impact on our business today. Turning to Page 12, although the general health of the U.S. economy is the subject of nearly daily debate these days, the residential mortgage credit market enjoys significant fundamental and technical support. The labor market and employment numbers continue to improve. Interest rates and mortgage rates remain very low. Case-Shiller National 20-City and 10-City Indices are all up over 5% year over year. Sales of existing homes rose 6.5% to $5.26 million in 2015. According to a recent CoreLogic National Foreclosure Report, the U.S. national foreclosure rate is now down to 1.1%. We last saw that level in November of 2007 and foreclosure inventory is down 23.8% in the last year. Total housing inventory is declining. Available listings are down 3.8% from a year ago. Seriously delinquent defined as 90-plus-days mortgages are down 23% year over year and underwater homes are down 21% year over year. Turning to Page 13, we made good progress on growing our credit sensitive residential whole loan portfolio in the fourth quarter, increasing this asset class to $895 million as of December 31, nearly tripling the size of this asset class during 2015. The supply picture for 2016 looks very promising with continued selling expected from GSEs, large banks and other market participants. And just to remind you, these residential whole loans are qualifying interest for purposes of the REIT qualification and the 1940 act exemption. Moving to Page 14, our credit sensitive whole loans appear on our balance sheet in two lines: loans held at carrying value, which is $272 million; and loans held at fair-value, which is $623 million. This election is permanent and is made at the acquisition time. Typically, we elect carrying value for re-performing loans and fair-value for nonperforming loans. We added additional warehouse borrowing capacity during the fourth quarter and we now have three warehouse lines with aggregate borrowings of approximately $488 million. We’ve also added additional staff to help with the asset management function associated with this portfolio. We’re excited to have the ability to oversee servicing decisions on troubled loans and we believe that we can achieve improved returns on these loans from thoughtful and diligent asset management. Moving to Page 15, we purchased approximately $345 million of RPL/NPL mortgage-backed securities in the fourth quarter, while experiencing pay-downs of about $189 million. This portfolio was at $2.6 billion at year-end. We continue to like these assets due to their low sensitivity to interest rates and what we believe to be low credit risk, while at the same time providing low double-digit ROEs. Spreads on new issue deals have widened somewhat recently and we’ve been able to invest at attractive yields of as high as 4.5% recently. Finally moving to Page 16, the credit metrics on the loans underlying our Legacy Non-Agency portfolio continue to improve. 79% of the loans underlying our Legacy Non-Agency portfolio are now amortizing. This principal amortization together with home price appreciation continues to drive down LTVs. Delinquencies are also curing. 60-plus-day delinquencies of this legacy portfolio as of December 31 have declined to 13.5%. On this page, we illustrate the LTV distribution of current loans in the portfolio. The red bars represent at risk loans where the homeowner owes more on the mortgage than the property is worth. These are loans that we potentially worry most of our transitioning to delinquent in the future, because of the fact that the borrowers are underwater. As you can see these red bars are quickly disappearing. Please also note the increasingly large green bars on the left-hand-side. These are loans with LTVs below 80%, which are attractive refinance candidates. A combination of low rates available today and 30-year amortization term on a new mortgage versus the perhaps 20-year remaining term on loans outstanding today, can offer home owners substantially lower monthly payments. Of course, given our deeply discounted purchase price for these assets, we are very happy when these underlying loans prepay. And I’d like to now turn the call back over to, Bill.
William Gorin: Thanks, Craig. So in summary, we continue to utilize our expertise to identify and acquire attractive credit sensitive residential mortgage assets. We substantially grew our holdings of credit sensitive mortgage loans and three-year step-up RPL/NPL securities in the year 2015. Credit sensitive assets, that we own, continue to perform well, and we are well-positioned for changes in monetary policy and our interest rates. This completes our fourth quarter 2015 presentation. Operator, could you please open up the lines for questions?
Operator: Certainly. [Operator Instructions] And our first question will come from the line of Dan Altscher with FBR. Please go ahead.
Daniel Altscher: Thanks and good morning, everybody. I know you’ve generally been a little bit more hesitant to maybe buyback some stock in recent memory. But, I guess, with the stock heading down the way it did through the end of the year-end, particularly into January, has that tone around a potential share buyback maybe changed at all at this point?
William Gorin: Thanks for the question. So, as you know better than I, most if not all of the mortgage REIT sector is trading at some discounted book value. And I believe the situation extends to many types of financial institutions including major banks. Also, as you know as well as I, MFA has in general traded much less of a discount than other companies in this sector. I believe this is primarily due to our investment strategy in execution. MFA has made high value-added less interest rate sensitive investments within the residential mortgage universe. And it generates very attractive shareholder returns throughout different cycles, which I think we showed up in the early part of the presentation. Now, many companies with very significant discount have announced and executed share buybacks, but what really has been the income accretive impact. On the other hand, maintaining permanent capital and liquidity gave MFA the opportunity to make investments in less liquid and out-of-favor investments that over time have proven to be very large impact in earnings. It’s why we were able to invest many billions, maybe $4 billion, $5 billion in Legacy Non-Agency MBS at deeply discounted prices. Also, as we all read in the papers there’s less liquidity in trading market. This trend is continuing. MFA is currently finding very attractive investment opportunities as trading liquidity declines. Now, we are disciplined in our capital allocation, which is important. Remember, we distributed approximately $300 million in dividend in 2015 to shareholders. We are internally advised in there is no compensation of fees that are tied to equity size. The positive impact in earnings of lower G&A expense, due to our self-advised structure and our critical scale, frankly dwarfs the income impact of any share buybacks we’ve seen. That being said, while this is our current view. We do like to keep all our options open to best maximize long-term value creation for shareholders. And the facts and circumstances change, we currently do have an existing share buyback authorization of 6.6 million shares, which is approximately $40 million. Hopefully, you could see we’ve given the subject a lot of thought, and our view is based on many years of experience as a public company.
Daniel Altscher: All right. Thanks, Bill.
William Gorin: Sure, Dan.
Daniel Altscher: Yes. Now, I think I get the message pretty loud and clear for right here and now. On an unrelated topic, certainly there has been discussion and I think evidence of increasing maybe stress in the repo markets at counterparties. Can you maybe give us an update or feeling as how that discussion is gone kind of in recent times with some of your counterparties in terms of offering capacity or how they’re talking about financing rates, particularly as a lot of the Basel III starts to work its way in? If maybe give any sort of sense or feeling as to how long or how along we are towards implementation or what, is it just SLR based or have they even gone to HQLA or anything else besides that at this point?
William Gorin: Well, I’ll start with the long-term trend and then we’ll get you up-to-date on the market. This long-term trend has been foreseeable for five or six years. And that is part of the reason we changed direction going back 2007, 2008. Certainly, we can’t compare the environment now to then. But having lived through that, we have had the company become less reliant on leveraging. That’s why historically while we might have been 10 times levered right now it’s a 3 handle, the reason we changed the investment class with that higher yielding assets that frankly required less leverage to generate attractive ROE. So that’s the long-term trend. In terms of getting you up to speed on the current market, we’ll have Gudmundur talk about the agency market and Bryan will talk about the non-agency market.
Gudmundur Kristjansson: Yeah. These availability of funding remains good. There is nothing, no changes on the fourth quarter or in the first quarter. I think, some of the things that Bill mentioned, some of them have largely played out. So the impact has already been felt and so we’re not feeling it incrementally over time over the last couple of quarters. Repo rates in general on the agency side are about 65 basis points, which is one month LIBOR plus 20 to 22 basis points, which is in line with what’s been over the last year or so.
Bryan Wulfsohn: Yes. On the non-agency side, repo was still widely available, demand has remained constant, if not we have even seen some tick-up in demand for credit. In terms of spreads, we saw some widening going into the fourth quarter, but haven’t really seen any change thus far in this New Year.
Daniel Altscher: Okay. And then maybe just one other one and then I’ll jump off. Just related to CRTs, the Credit Risk Transfers, it - just glancing at the numbers, it looks like you probably added to that book a lot or somewhat during the quarter, because I don’t think the market pricing was all that helpful. Has that kind of changed over that you’re seeing now more interest from your end on it? I mean, is it just that the yields blew out and that made it really attractive? Or were these primary transactions or is it increased liquidity in the secondary market that’s helping that take time, make that maybe a more developing - developed market?
William Gorin: Dan, this is Bill. And I’ll have the experts to give you the answer. But so it’s little clear, on Slide 6, hopefully that shows that we bought $30 million, the change was $30 million in the fourth quarter, Credit Risk Transfers. So they were just opportunistic buying on days when spreads are wide so.
Craig Knutson: And, Dan, it’s Craig. It’s just - it’s really opportunistic, as Bill said. As spreads widen out, they become more attractive. It’s difficult to grow that to buy any sort of size. Some of these trades could be as small as $3 million. We’ve also been somewhat particular about the vintages of the - the product that we own tends to be the more season product which has already experienced some home price depreciation. So not all those are created equal, but it’s still - in the scheme of things, it’s not a very big asset class for us.
Daniel Altscher: Okay, thanks. I appreciate the answers. I will drop off. Thanks.
Operator: Next in queue, we’ll go to the line of Doug Harter with Credit Suisse. Please go ahead.
Doug Harter: Thanks. Bill, before in your answer you said you’re seeing some trading opportunities around kind of the current market volatility. I’m wondering if you could just flush that comment out in sort of which asset classes you’re seeing that.
William Gorin: Okay, sure. So I think Craig spent some time on the three year step up RPL/NPL securities. And I believe the average coupon as of the fourth quarter was in the 3.70 handle. Clearly, new deals are being priced with the 4 handle. So to the extent we do have run-off, which we do, the average yield is going up. So we need to find opportunities in the RPL/NPLs. Legacy non-agencies have widened. And sometimes we are a buyer, and sometimes we are a seller of those assets. Generally, to buy an opportunity in the first quarter were better than anything we’ve seen all of last year.
Doug Harter: Right.
William Gorin: We actually - even though it’s not your question, but perhaps the next question - people have often asked what’s happened to the value of the assets since the end of the year. So we will give you an update through January. So, Craig, you want to take that?
Craig Knutson: Sure. So legacy is probably in the month of January. It was probably down about a point. Again, be careful because it really depends, what proportion of the legacy market that you speak about. So our portfolio is more of the higher quality prime, maybe some better quality of Alt-A. So there’s been less price erosion there than in the lower credit quality paper, but it’s probably up about a point in January.
Doug Harter: Great. That’s helpful. And then, on the - to understand the tax benefit that you will get this year, is that a one - is that just specific to the one securitization that’s unwinding or will that occur in further years as well?
William Gorin: I don’t know if it’s a benefit. But, well, for sure…
Terence Meyers: Now, that’s transaction-specific. So that’s a one-time event with respect to the liquidation of that securitization. There is no reason follow-on. Once the liquidation occurs, there will be no subsequent impact from the securitization itself.
Craig Knutson: With that said, we do have one additional REMIC securitization that we did back in 2011, or maybe at the beginning of 2012. The senior bonds on that is not paid off yet. So I think it will be a lesser effect than the one that’s close to us now, but I don’t know if that will even occur this year. That might not be until 2017.
Doug Harter: Got it. But there could be a similar taxable gain from that in 2017 as things play out similar there?
Craig Knutson: I think, similar but I think smaller. It’s a smaller deal. So it will be similar, but not as large.
Doug Harter: Great. Thank you.
Operator: Next in queue, we’ll go to line of Joel Houck with Wells Fargo. Please go ahead.
Joel Houck: Thanks. I may have missed it, but I didn’t see it in the slide-deck. Can you tell us how much was transferred from the credit reserve to the accretable discount in the fourth quarter?
William Gorin: Go ahead, Steve.
Stephen Yarad: Joel, it’s Steve Yarad. In the quarter we transferred approximately $6 million taking the total for the year to about $41 million.
William Gorin: Okay. I believe that’s in the press release.
Stephen Yarad: Yes.
Joel Houck: Okay. All right. Thanks, guys.
William Gorin: Sure.
Operator: Next, we’ll go to line of Rick Shane with J.P. Morgan. Please go ahead.
Richard Shane: Good morning, guys. Hope you’re well. Bill, it’s nice to hear your voice. Just a couple of questions, and look, I think, Dan, really hit the question that most investors are focused on, about buybacks. And I think, Bill, telegraphed your view pretty clearly. One thing I would like to talk about is that, if you heard some of your peers talk about the relative value in the agency market, it seems, obviously, like you are focused on the non-agency side. I am curious with spreads, above historical average in terms of - spreads trading above historical average, why you are not pursuing that a little bit more. Do you think that we are approaching a period where spreads are going to be persistently wider given some of the changes you are seeing in financial markets?
William Gorin: Thanks. Thanks for the question, Rick. And I don’t know why your name gets mispronounced more than everybody else’s. Definitely…
Richard Shane: I would think it’s pretty easy.
William Gorin: I agree with you. So you’re right about the spreads. But let’s take in historical perspective. So historically, you earned what you earned on your equity investment in the agencies, plus your spread times your leverage. So go back, way back when - and your unlevered yield is 4%, 5%, then your interest spread of 100 basis points times your leverage. The absolute yield is very well on the unlevered equity. And you’re right with your leverage; you still get to a good spot. But being that this is the fourth quarter 2015 webcast, I still fair - I still find it fair to bring up 2013, where the 10-year was very low at the being of the year and ended up much higher. So there is some risk to buy 30-year assets, hedging the duration known for well the duration can change, especially right now, when people aren’t sure if the 10-year is going up or down. We’re going to have either extension or contraction. But we don’t disagree about the spreads. It’s the absolute yield. It’s the yield on unlevered portion of your investment. That makes us refrain from growing the agency book at this time.
Richard Shane: Got it. It’s interesting. Look, we see some value in the agency market. But I hear what you’re saying, that there’s really a sort of two-way risk in that market right now. That’s a lot harder to calibrate. And we’re probably at a period of greater uncertainty than we’ve been in some time.
William Gorin: We agree.
Richard Shane: Great. Thank you, guys.
William Gorin: Thank you.
Operator: [Operator Instructions] We’ll go directly to line of Bose George with KBW. Please go ahead.
Bose George: Hey, good morning. Actually, an accounting question, just the NPLs that you hold at fair-value, does the fair-value mark through the income statement, is that just the equivalent of interest income?
Stephen Yarad: So, Bose, that market has a couple of components. It includes the coupon interest that we receive in cash during the period. And it also includes an unrealized gain - unrealized gain or loss component. So in our 10-K, which I think you’ll see filed later today, we have some additional footnote disclosure which gives you some more detail on that.
Bose George: Okay, great. And then, actually, just in terms of modeling that number, should we just kind of use the discount rate and assume that if nothing changes on the fair-value mark the discount rate is what your yields going to be?
Stephen Yarad: Yeah, that’s a pretty fair way to model it. Okay.
Bose George: Yeah, okay. Thanks. And then, just in terms of big gain - a gain from asset sales this quarter, can you just discuss what drove that?
William Gorin: Yes, sure. Often we will see a security trade that we own a smaller piece of. So to the extent we know there is a buyer for larger piece it’s an advantageous time for us to sell a smaller piece just as an add-on. So typically, that’s what’s driving the trade in the market, because we owned so many CUSIPs and we’ve owned them for a while, so some of them have reduced in size due to prepays. We’ll just see what the market has given us in the particular CUSIP. And often we’re just an add-on seller to [when these] [ph] fluctuate.
Craig Knutson: And those small pieces, you typically trade at some concession to the market. So again, as Bill said, if we can add that on to a larger piece, it’s a better execution than we could get in isolation.
Bose George: Okay. And that makes sense. Great, thank you.
William Gorin: Thank you.
Operator: And, speakers, currently we have no additional questions in queue. Please do continue.
William Gorin: All right, thanks a lot, everyone, for participating in the phone call. And we look forward to talking to you next quarter. Thanks, operator.